Operator: Greetings and welcome to the Primoris Services Corporation Third Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Kate Tholking, Director of Investor Relations. Thank you. You may begin, Miss Tholking.
Kate A. Tholking - Director-Investor Relations: Thank you, Jerry. Good morning, everyone. Thank you for joining us today. Our speakers today will be David King, President and Chief Executive Officer; and Pete Moerbeek, Executive Vice President and our Chief Financial Officer. Before we start, I'd like to remind everyone that statements made during today's call may contain certain forward-looking statements, including with regards to the company's future performance. Words such as estimated, believes, expects, projects, may and future or similar expressions are intended to identify forward-looking statements. Forward-looking statements inherently involve risks and uncertainties, including without limitation those discussed in this morning's press release and those detailed in the Risk Factors section and other portions in our Annual Report on Form 10-K for the period ending December 31, 2014, our Quarterly Report on Form 10-Q which was filed this morning, and other filings with the Securities and Exchange Commission. Primoris does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required under applicable securities laws. I'd now like to turn the call over to our CEO, David King.
David L. King - Chief Executive Officer and President: Thanks, Kate. Good morning, and thanks for join us today. I want to start off by saying I'm please with the results our team have delivered this quarter generating the second highest revenues in our company's history. We finished our third quarter strong with little of the outside effects by Mother Nature. We don't often talk about safety on these calls, but it's worth mentioning that Primoris is in the top quartile of industry leaders in safety performance. We have achieved our year-to-date safety goals and received numerous client safety awards throughout this year and continue to strive for excellence as the safety of our employees is always our first priority. During this third quarter, we finally had an opportunity to ramp up our resources in several of our key areas, put our equipment back to work and made several good progress on several of our large projects. We have the capacity and have identified opportunities to grow our revenue in 2016 and we are seeing improved margins on the new jobs in several of our end markets. We announced over $226 million of new projects during the third quarter and we've announced another $96 million so far in the fourth quarter. While our third quarter showed a slight decrease in total backlog, this is due to the timing on two major projects where we have been selected or currently finalizing agreements. These two projects along with our strong MSA work give us confidence that we'll grow our backlog by year's end. During these and with all of our negotiations our goal is the right project for the right terms. Now, taking a look at our operating results, I'll start with the West segment. ARB Industrial revenue was down as expected, but Tim Healy and his group are seeing strong margins on the work they have. The 500 MW combined-cycle power plant we announced in June is in the early design and engineering stage and we expect construction revenue to ramp up late in the first quarter of next year. We have also announced a co-gen power project for one of our industrial clients in California. The California power market is reaching a critical juncture with recent legislature making California one of the most progressive renewable portfolio standard states in the United States, moving from 33% by year 2020 to 50% by 2030. This will continue the trend toward more renewable energy development including solar and battery storage projects. ARB Structures had a very busy third quarter with revenue up substantially from the same period last year. Our estimating proposal and activity remains very high. Competition in the parking structure as market continues to be tough, but Mark Thurman's team is fortunate to have developed exceptional relationships with a number of private sector owners through that multiple-parking structure projects in the works. Mark will be heading into 2016 with one of the largest backlogs of work in the ARB Structures history. The underground distribution market in California started off slower in the first half of this year than usual, but Scott Summers' ARB underground group is now making up for it in the second half. As we've begun developing next year's business plans, we feel we have good sight into 2016 and we expect the overall market for him should be up notably in volume over 2015. We continue to make progress on our multiple year MSAs and we see the opportunity for additional long-term awards from current clients. Vadnais is seeing revenue and margin growth as they benefit from the support and resources offered via other business units within Primoris. We're seeing projects that have been shelved by several municipalities finally come into market as municipal budgets have improved. The integration of Paul Vadnais and his team into Primoris family has opened up opportunities and Vadnais is now successfully bidding and winning work in the Texas market. We believe Vadnais is on the cusp of significantly increasing its revenue and margins as they move into 2016. Q3C continues to see a strong distribution market also and we expect our current customers' budgets to increase in 2016. Q3C's pipeline market, which is distinct from the midstream pipeline market served by Rockford group, has seen very competitive bidding as companies work close to cost to keep equipment and people busy, but we do anticipate strong market in 2016 for Jay. Jay and Jason Osborn are looking at markets in the Pacific Northwest to replicate the success they have seen in the Denver market and we expect 2016 will be another strong year for Q3C. In the third quarter, Rockford finished a job that had seen significant weather delays in the first half of this year. Because of our commitment to that client and our unwillingness to pull crews from that job before the work was properly done, Josh Ramsey and Frank Welch did not load up on work for the end of this year. We're quoting and winning some smaller projects, but Rockford will have excess capacity in the fourth quarter and the first half of 2016. Starting the second half of 2016 and well into 2017 and 2018, the midstream pipeline market looks as strong as we've seen in several years. We're confident that there are ample projects breaking ground over the next several years to keep Rockford at close to full utilization. We are currently being very picky on any work for our remaining capacity and should see some higher margins. Now moving on, looking at our Energy operating segment. Randy Kessler's OnQuest group enjoyed solid bookings in the face of a weakened oil and gas market. Process plant work has been brisk, with one infrastructure LNG plant coming online earlier this year and another plant currently nearing completion, with a plan to be operational before the end of 2015. We continue to pursue a number of LNG plant opportunities, including plants in the 250,000 and 1 million gallon per day range, and are currently performing FEED work on two such facilities. Finally the reform and furnish work for Randy continues to provide significant revenue and margin and the Asian market is starting to heat up again, an area where we've had a strong record of success. The revenue at our large petrochemical job, Primoris Energy Services' James Industrial unit in Louisiana didn't ramp up as much as we would have liked in the third quarter. But we are pleased with the current project execution and the financial performance on the work. We expect that work to continue to ramp up and there remains the opportunity to pick up additional scope on that project. The overall market along the Gulf Coast is still strong with many opportunities, but with a lot of uncertainty about which projects, particularly on the larger scale, will proceed and their timing. Jim Henry and Conrad Bourg are focusing efforts on strengthening and expanding our operations in that Gulf Coast region. Although the open shop pipeline market has not returned to normal levels, we saw signs in the third quarter that business is improving. Price competition remains high, with awards going to companies willing to take work at lower margins. Primoris Pipeline, led by Robert Grimes, is identifying opportunities outside the Gulf Coast region that we feel, if successful, will add well to our backlog in this unit and strengthen revenue growth. Don Patrick's Cardinal Mechanical group had an outstanding quarter. We've always said it's feast or famine for Don and his group and in the third quarter they feasted. Their work largely consists of chilled or hot water piping systems for universities, airports and hospitals, and they're one of only a handful of companies in his market that provides this type of service. We are seeing several opportunities for Don's group well into 2016. In our East operating segment, Cardinal Contractors struggled with some challenging jobs in Texas. While we work through these issues, Richard Holt and his team were busy signing new larger projects that have the potential for improved margins. Cardinal is still seeing several good opportunities for their services. The water and waste water markets continue to be very competitive and labor cost for these markets is challenging. I'm pleased with the improvement we saw on our heavy civil work. Our work in Louisiana, Mississippi and Arkansas continued as planned, on schedule and performing as expected. We also made material progress on several large projects in Texas that had been severely impacted by the weather in the first half of this year. Mike Kilgore and Rodney James have been working with TxDOT to identify and implement work sequencing changes to expedite the work, increasing our manpower and outreach programs to local communities. We expect that most of our large work in the Belton, Texas area will be completed in the first half of 2016. James Construction Group is one of the top three highway contractors in the State of Texas. I'm sure as you may have heard Texas has passed the Prop 7 initiative supplying, we feel, the state with as much as $50 billion to $70 billion in additional highway funds expected to be spent over the next 10 to 15 years. This additional funding should create significant opportunities but the additional new projects will not materialize, we feel, well until 2017 and beyond. In the meantime, we continue to bid and win work with TxDOT and other Gulf Coast state highway organizations in Louisiana, Mississippi and Arkansas. The James Infrastructure and Maintenance division led by Jonas Beatty is experiencing an exceptional year. Our large petrochemical project in Louisiana has been the major contributor and we're seeing great project and financial performance. There are several other key major industrial projects in the pipeline for the Gulf Coast region and those projects have successfully moved through the funding phase to construction. We continue to see growth in this market and for Jonas. As we're completing our 2016 business planning efforts, we are optimistic about organic top line growth and incremental profitability, especially in the latter half of next year. We've been quiet on the M&A front for the past few quarters but that doesn't mean we're not looking at deals and evaluating whether they're the right fit for Primoris. Brian Pratt is actively engaged in this process and I think we can all agree he is the perfect man for that effort. Our balance sheet remains strong and when we find the right deal we have the ample liquidity to make it happen. I'll now pass the call over the Pete Moerbeek to go over some of the numbers with you and then we'll move on to the questions. Pete?
Peter J. Moerbeek - Executive Vice President, Chief Financial Officer: Thank you, David and good morning, everyone. As Kate mentioned, we filed our third quarter Form 10-Q this morning, which is a good thing and that means I will speak much less and we can move to your questions earlier. Our third quarter revenues were $556 million, compared to $613 million in the third quarter last year, a reduction of $57 million. This year's third quarter revenues were the second highest in our history. Third quarter earnings were $19 million, or $0.37 per fully diluted share, compared to $27.4 million, or $0.53 per share last year. Of course last year's earnings numbers included approximately $6.05 per fully diluted share from the gain on the sale of our interest in the WesPac venture. For the quarter we achieved a gross profit margin of 12.9% compared to 12.3% last year. However, those numbers are a little bit misleading. Last year's quarter included $39 million of revenue and cost for two projects for which we recognized no margin. After excluding the revenue and cost for those two projects, our gross profit margin declined by about 26 basis points compared to 2014, with most of that decline occurring in our West segment as a result of slightly lower revenues. Our SG&A expenses increased by $2.4 million compared to the previous year's third quarter. About half of that increase was from SG&A cost from two acquisitions with the remainder primarily the result of increased personnel expenses. We also continue to incur legal cost associated with the dispute resolution to enforce collection for two 2014 projects, for which we have take no profit in spite of our belief that we have a very strong basis for our position. We do not expect either dispute to be resolved this year. Our balance sheet at September 30, 2015 included a cash balance of $89 million, an increase of $3.5 million in the third quarter. Our tangible net worth was $311 million at quarter end. Debt at quarter end was $255 million, which includes $75 million of senior notes, with the remaining debt secured by specific equipment. Our weighted average interest rate is 2.64%. During the quarter, our capital expenditures were $14.2 million for a year-to-date investment of $46.3 million. That total is almost $8 million less than the sum of our depreciation, amortization and proceeds from the sale of equipment which is our traditional goal. At this point, we expect that our total capital expenditures will be in the $60 million to $65 million range for 2015. Our total backlog at quarter was $2 billion consisting of $1.6 billion in fixed backlog and $469 million in MSA backlog. Our fixed backlog includes only contracts for which we have a known revenue amount, and our MSA backlog includes four quarters of estimated MSA revenues. As David mentioned, our total backlog decreased by almost $150 million during the quarter, but to provide a little perspective $125 million of that decrease occurred in the East segment which has traditionally included our lower margin and longest duration jobs. We are negotiating some very large jobs which would increase the higher margin part of our backlog and of course, we expect that we will continue winning work in the East segment, too. Let me conclude by focusing on the future. Since I know that you guys are all thinking, okay, what's Primoris going to do next month, next quarter and next year. Like many in our industry, we expect underutilization of our resources in some of our business units for the next several quarters and we expect that the infamous El Niño will make a reappearance this coming winter. While our last four quarter earnings were $0.64 per share, we are expecting to improve to between $1.15 and $1.30 per share of earnings for the next four quarters. This improvement reflects both the benefits of geography and market diversity as well as the benefits of the expected boom in capital pipeline construction. Thank you and I will now pass the call back to the operator, so that David can answer all your questions.
Operator: Thank you. At this time we'll be conducting a question-and-answer session. The first question is from Mr. Dan Mannes, Avondale Partners. Please go ahead sir.
Daniel Mannes - Avondale Partners LLC: Thanks. Good morning everyone.
David L. King - Chief Executive Officer and President: Good morning, Dan.
Daniel Mannes - Avondale Partners LLC: So first question on kind of your rolling 12-month guidance. We appreciate you continuing to give this to us by the way. I guess one question here is relative to last quarter, given the fact that you're now going to be including the third quarter of 2016 where you should see a pickup in large pipe work. I guess we thought there was some chance you might be looking to increase that. Do we take the lack of changes to maybe some conservatism at the time of starts or maybe just a little bit of conservatism about the underutilization in first half of 2016 or any other factors maybe I'm not taking into account?
Peter J. Moerbeek - Executive Vice President, Chief Financial Officer: I think Dan, you answered the question better than I could. No, we're looking at some apprehension depending on, is the weather going to be as bad as it was last year? How strong are we going to be able to finish out fourth quarter? I think we as most of our competitors see a very strong second half of the year and obviously would expect that our guidance will increase the next time that we give it. But at this point I think, you know if you look at where we're coming from, almost doubling it is probably a pretty aggressive step.
David L. King - Chief Executive Officer and President: And I'll add on a little bit Dan to Pete's. Pete explained it exactly correct. When we look at some of these projects that we've got already in backlog, we know roughly when they're going to start but until they start, I'm always a little conservative from beginning to say it's going to be in there until we physically get started on some of that backlog work. Some of the other work, and that's in the pipeline side. In some of our other industrial work, as I mentioned in my comments earlier, some of it is the timing of some of those projects. They look very strong, they look very good projects, but some of them are suspect timing. So I just want to make sure that we don't jump out ahead of ourselves.
Daniel Mannes - Avondale Partners LLC: No, that makes a lot of sense. The second question is you did mention, you're obviously negotiating some fairly sizeable work. I realize you're not going to confirm the exact identities, but can you maybe point to where they would fall in from a segment basis, the big stuff you're currently close to locking down?
David L. King - Chief Executive Officer and President: Most of them would fall in the West segment and the Energy segment.
Daniel Mannes - Avondale Partners LLC: Perfect. And then lastly, just in the California distribution pipeline business, ARB Underground, can you talk maybe a little bit about what you're seeing from your largest customer there? It seems like they've been maybe a little bit slower due to regulatory issues, and what gives you confidence that gets better into 2016?
David L. King - Chief Executive Officer and President: Basically what gives us confidence is some of the work that they postponed in the earlier half of this year, that's what I mentioned in some of the comments earlier, are now beginning to go into the later half. As you know, they had a very large capital project services, EPC project that's been out for tender and they've been looking at it. They have always said that they would kick that work off in the first part of next year. We have confidence that that work's going to be split amongst two major entities, with us being one of those entities. So when we look at it and we add that segment of the new work, the capital project services work, Dan, on to our existing work, that's why we have a pretty good confidence that we're going to see some robustness in that revenue growth next year for the Underground group.
Daniel Mannes - Avondale Partners LLC: Sounds great.
Peter J. Moerbeek - Executive Vice President, Chief Financial Officer: You are correct, Dan, they really are down; so far this year for the first three quarters, we're at $70 million compared to $107 million last year.
Daniel Mannes - Avondale Partners LLC: Got it. That's really helpful. Thanks again.
David L. King - Chief Executive Officer and President: All right. Thanks, Dan. Thanks for your questions.
Operator: The next question is from Mr. Lee Jagoda, CJS Securities. Please go ahead.
Lee Jagoda - CJS Securities, Inc.: Hey good morning.
David L. King - Chief Executive Officer and President: Morning, Lee.
Lee Jagoda - CJS Securities, Inc.: So, Pete, could you just comment on the Energy segment margins. They obviously improved dramatically. How do we think about the sustainability given the current mix of work in backlog?
Peter J. Moerbeek - Executive Vice President, Chief Financial Officer: I think that you will see, they reflect obviously a large project that we're working on in Louisiana. And I think that as long as we get the opportunity to work on that – part of that improvement too though, Lee, is that you've got to take out the revenue that we did at no margin last year. And of that $39 million, I think $37 million came out of Energy. So, it's probably not quite as good as it looks, just purely on the numbers, but we do believe that we will continue strong as we continue the work on the large project. It's cost reimbursable but still pretty good margin project in Louisiana.
Lee Jagoda - CJS Securities, Inc.: Sure.
David L. King - Chief Executive Officer and President: Lee, I might also add, to give you a little color on that. In the Energy sector, that particular project we're doing with our industrial group and they are just now really beginning to ramp up on that project. We'd hoped they would be ramped up sooner than that, but some of the engineering deliverables and things that are outside of our control were a little bit later in arriving and so therefore we didn't get a chance to ramp up our industrial group. Obviously, our I&M group, that's in the East sector, that I mentioned Jonas has been working on that project and really ramped up. But I believe you'll see some industrial ramp up coming in these next few quarters.
Lee Jagoda - CJS Securities, Inc.: Okay. And then, Dave, in your press release you sort of cited some instances of delays of capital projects due to the price of oil. Is there anything particular that you've been kind of delayed on that you're already doing work on, or is it more a general widespread thing?
David L. King - Chief Executive Officer and President: Lee, it's more of a general thing. As you know – and it's really more – I don't know that I'd call it – well, okay, the oil price has not helped, obviously. I think I'd call it more some of these projects that we're seeing, they're non-oil related but they're all gas, LNG related, some of the larger LNG facilities. We, obviously, as you know are a subcontractor on that work, do a lot of construction services. So we see some of that materializing, some of it taking a little bit longer to materialize just from the nature of those projects and some of the funding and timing on them.
Lee Jagoda - CJS Securities, Inc.: Okay, great. That's very helpful. Thank you.
Operator: The next question is from Jason Wangler, Wunderlich. Please go ahead Mr. Wangler.
Jason A. Wangler - Wunderlich Securities, Inc.: Good morning. You mentioned in your prepared remarks a bit about I think seeing some soft pricing and I think it maybe was around kind of the gathering and smaller oil and gas work. Just curious if I heard that right, one. And two, just how you're seeing that play out just given I assume that a lot of folks are out there bidding for that work and as you start seeing some of the bigger pipelines come on or – are you worried about the same type of situation as you are into 2016?
David L. King - Chief Executive Officer and President: No, Jason you're right. You read that exact or heard that exactly correct and it was more in our open shop pipeline and maintenance area – in Robert Grimes' area. We were pretty regional based in that group, so a lot – when the oil price did come down, what we saw and I think all of our competitors saw the same thing. We saw a tremendous pressure on the pricing for that work and so obviously we were very selective not wanting to go after work just for the purpose of booking work with no margin. The reason I'm saying a little bit more optimistic, we've regrouped in that area and actually starting to look at work outside that Gulf Coast region, because for me that Gulf Coast region with the price of oil still works as pretty competitive in that open shop pipeline market. And as you also know with our Surber group, our Roustabout group out in West Texas they're still somewhat depressed in getting their top line going also with that price of oil down. But I do expect as we branch out of that Gulf Coast region with our open shop pipeline capabilities, I do look for some of that top line revenue to grow.
Jason A. Wangler - Wunderlich Securities, Inc.: Thanks. And then just Pete just curious on the accounts receivable, just kind of seeing it creep up again. Is there any commentary around that? Obviously the cash balance is still in pretty good shape, but just kind of how we should look at that going forward?
Peter J. Moerbeek - Executive Vice President, Chief Financial Officer: Yes, wonderful. I meant that we're going to have a lot of activity in the third quarter compared to second. And that really is what it is. We still if you take out of our receivables the – over – the things that are in dispute we are under 2% in over 60 days on our receivables. So we're very comfortable with – we're collecting as fast as we can. So really it is a positive, because we do have – did have much more activity.
Jason A. Wangler - Wunderlich Securities, Inc.: That's helpful. I'll turn it back. Thank you.
Operator: The next question is from Tahira Afzal, KeyBanc. Please go ahead ma'am.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Thank you. And David and Pete, congrats on a really good quarter.
David L. King - Chief Executive Officer and President: Thanks, Tahira. We appreciate that.
Tahira Afzal - KeyBanc Capital Markets, Inc.: You know I guess, I'm trying to understand, it seems like you're hitting, the earnings power you had in third quarter was really good. I understand that Rockford will probably have some underutilization as you build backlog, but given that some of the (26:56) work or undisclosed client work is ramping up, how should I think about it? How should I think about earnings power because is Rockford utilization in the near-term really softening versus the third quarter?
David L. King - Chief Executive Officer and President: Yes, Tahira, you're reading that correctly. As I mentioned, we want to finish our project in Texas that had all the weather delays and so we held back committing our resources to some projects that maybe we could have won that would have burned off in the fourth quarter and then first quarter. But we're getting some work, but our Rockford group will be underutilized at that time. Then we're still going to be facing in the fourth quarter and the first quarter what we always typically face in those winter months, we'll have some of our groups beginning to gear down, meaning the Q3C group will gear down in the fourth quarter and first quarter. But I think you're reading it correctly.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it. Okay. That's helpful, David. And then second question is, we've started to see some of your peers really start seeing some of these large pipeline bookings come through. You've probably started – you'll be noticing that probably as well in their earnings releases. Is there a reason why we're seeing a bit of a lag between their performances and awards and yours, number one? And number two, would love to get any kind of update you can provide around other petrochem subcontracting opportunities. I believe there is a second wave probably likely in 2016.
David L. King - Chief Executive Officer and President: Yes. Let me start, Tahira and I'll answer the first question on the pipeline. One of the things that we've had a noticed of an award on our major pipeline project for probably at least the last couple of months. We've been working through the T's and C's and I'm very – as Brian was my predecessor, very particular on making sure that we've got the right contract with the right terms and things. And that client is a very good client and so that's been just more of us not wanting to announce something until we get all the final dots and T's crossed and I's dotted. Otherwise we would have probably had a major project announced in Q3. And as far as Rockford group on other bidding projects. We're still out there chasing obviously a lot of those projects and we've got good indications as well as some of our other competitors of which portions they will be doing and which portions we feel we will be doing. And most of them – you're aware of from the Atlantic Coast and Atlantic Sunrise and some of the other projects. So I'm really not too concerned on our pipeline side – the big pipeline work. On the petrochemical work or industrial work, we're still seeing obviously some LNG activity. We're seeing methanol plan activity. We're beginning to see and it's an area that we've excelled with but we're beginning to see a lot of the industrial gas companies come to us for our services, for their air separation projects, nitrogen projects and those are all projects that will have to be built that supplement and feeds some of these other methanol and ethylene and ethane cracker projects and things of that nature. So we're seeing quite a bit of activity on our radar screen in those areas.
Tahira Afzal - KeyBanc Capital Markets, Inc.: Got it, David. That was very helpful and congrats on the quarter again.
David L. King - Chief Executive Officer and President: Thank you very much, Tahira.
Operator: We have a question from Mr. Bill Nubi (30:45), D.A. Davidson. Please go ahead sir.
Unknown Speaker: Good morning, guys. This is Bill Nubi (30:50) in for John Rogers.
Peter J. Moerbeek - Executive Vice President, Chief Financial Officer: Good morning. And I see he is making you do early morning calls.
Unknown Speaker: Yes. So, just wondering if we could get a little bit more color on the underground revenue growth that you guys are seeing in California. Is that – how much of that is being driven by actual new construction and how much of it is by maintenance on existing distribution networks?
Peter J. Moerbeek - Executive Vice President, Chief Financial Officer: Well, there is really a third piece that maybe the driver in a longer term or at least near-term basis is the integrity work. So we're seeing a little bit of uptick on the new construction. We continue to do the maintenance. I think where we see, there are some very good opportunities both in northern and southern California are on the integrity work. That integrity work has started in the southern part of the state, it still a ways way in the northern part of the state but that's where we see some very significant opportunities. Now having said that, our traditional largest customer there as I said is down some $36 million, $37 million through the first nine months, so some of that's tied into when they get regulatory approval, but – we look at that business opportunity, that's still really, really strong for the next few years.
David L. King - Chief Executive Officer and President: Yeah, Bill (32:14) to add a little more color on that for you, that particular client, it's public knowledge out there, what they announced relative to that program that I mentioned earlier that we feel will be split amongst two major contractors with us being one of them. But now I don't think they'll spend as much as what they've announced but they're talking about about an $800 million spend on an annualized basis. They won't do that. It will be down from that, but even if it's down in the $300 million, $400 million, $500 million range and that's split, you're still talking about another $100 million or $200 million of potential revenue growth that wasn't there before.
Unknown Speaker: Okay. Thanks. That helps. And just I guess a follow-up, how do you guys – I mean, how should – I understand you guys don't really want to give specific numbers, but how can we think about it in terms of earnings power with those three types of work and how that is going to effect the bottom line?
Peter J. Moerbeek - Executive Vice President, Chief Financial Officer: I think when it comes online, it will give us an opportunity to get some – that's all pretty good margin work for us. I think obviously the work we do for the utilities out there kind of depends on the mix of the work and the location of the work. But as we start to see that increase – and we see the opportunities there, we've been over $200 million a couple of years ago, three years ago for that large client – that has a very positive impact to the bottom line. So we look at it and say they're very, very significant opportunities for us. This is work that has not gone to anybody else, it's work that's there for us, it's our for the taking and it's a matter of them exercising the terms of our MSA. So yeah, we're very positive and that can really drive the overall results of the company.
Unknown Speaker: All right, thanks. And congrats on the quarter.
Peter J. Moerbeek - Executive Vice President, Chief Financial Officer: Thank you.
David L. King - Chief Executive Officer and President: Thanks Bill (34:13).
Operator: We have a question from Adam Thalhimer, BB&T Capital Markets. Please go ahead.
Adam Robert Thalhimer - BB&T Capital Markets: Hey, good morning guys. Nice quarter.
Peter J. Moerbeek - Executive Vice President, Chief Financial Officer: Good morning. Thanks, Adam.
David L. King - Chief Executive Officer and President: Appreciate it, Adam.
Adam Robert Thalhimer - BB&T Capital Markets: Hey, David, maybe this is just your personal opinion but LNG, the E&C seem to be a little bit split on – some saying that new projects are going to be really challenged to go forward and others saying no, we're still going to get a couple new projects moving forward every year. What's your personal opinion on that work moving forward?
David L. King - Chief Executive Officer and President: I think – pretty much with what you just said, Adam. I mean we keep our ear to the ground pretty close on that and meetings and things. And there are some that I think will go forward. There is obviously some that I don't feel very high will go forward. It all relates around, and we look very close at this, as to what kind of offtake agreements they've already got. What kind of agreements they've got in place for the gas, what kind of agreements they have as far as their marketing is concerned. I'm probably honing in on one that I think potentially has better viability than some of the others, but we continue to chase those others. So it's hard to answer, Adam. It's a very difficult question. I think that's why you see a little bit of our hesitatency to really say okay, we're going to burn some more in that first half of next year because it's based on some of the viability of those projects. But I feel comfortable that some of them will come forth.
Adam Robert Thalhimer - BB&T Capital Markets: Okay. And then just ballpark I guess, but – let's say you're brought in as a sub on one of those very large new build jobs. I mean is it similar to the Sasol opportunity or a little larger?
David L. King - Chief Executive Officer and President: Well, let me mention, on the Sasol opportunity that you mentioned – since you've called it by name, so that project for us started out, if you remember we released about $290 million of work. I think we've always said that that would be substantially more work than that and it will be. It may approach the $450 million – $500 million-ish type of range. So, yes to your question on some of this work that we're looking performing on some of these other projects, part of it is where we specialize and some of the marine type work, meaning the shoreline and dirt work and civil work. But I do and I would expect that some of those, if they materialize, we could be looking at starting out about half as much as we did on the petrochem job and maybe climbing to as much as the petrochem job.
Adam Robert Thalhimer - BB&T Capital Markets: Okay. Thanks for giving that color. And then – hey road work in Texas, sorry if I missed this, but with Proposition 1 in place and Proposition 7 getting passed, have you seen bidding opportunities pick up there?
David L. King - Chief Executive Officer and President: Yes, we don't think they'll really pick up, Adam, until probably in the 2017 timeframe, because that Prop 7 is a funding based on getting a certain what's over and above some budgeted line items. But we do see and again we've been developing as I mentioned, we're third largest contractor in the State of Texas for TxDOT. We've been working with them quite closely on a lot of projects, and they're very optimistic that starting early in 2017, we'll start seeing some of that bid package work come out. And if you follow TxDOT very much at all, and again, this is predicated upon some estimates of the amount of money additional to spend, but you might be seeing as much as 50% more spending or double spending opportunities for the State of Texas in some of this highway funding. But we think most of it, Adam, won't really come about till 2017 and onward.
Adam Robert Thalhimer - BB&T Capital Markets: Okay. And lastly, out of California, you had a really nice refinery award recently. Where are you in terms for the industrial segment in terms of utilization now and can you give us a little insight into what you're looking at additionally for 2016?
David L. King - Chief Executive Officer and President: Yes, we're somewhat underutilized in our industrial group out there. When we came down off the big solar project, of course, we were already in the throes of we're finishing the Pasadena project and so we're still burning quite well there. You're right the refining project has helped in that regard. The NRG job that I mentioned and the gearing up on it in the first quarter, second quarter of next year. What we're really looking at out there and again, we're trying to make sure that that it's the right project terms with the right customer. So I'm very conscious about making sure that we don't in the zealousness to get work take on a bad contract that you'll be hearing me talk about two years from now saying gosh, I wish we didn't have this project or something. And Tim Heal has been extremely good about making sure that we're disciplined in our approach to those projects. But we do see some more refining work out there. We do see some more co-gen-type work out there and obviously there is some more power project work out there that we're continuing to look at.
Adam Robert Thalhimer - BB&T Capital Markets: Great, thanks guys.
David L. King - Chief Executive Officer and President: Yes, sir.
Operator: Ladies and gentlemen, we've reached the end of the question-and-answer session. And I would like to turn the conference call back over to Mr. David King, CEO and President for closing remarks. Please go ahead Mr. King.
David L. King - Chief Executive Officer and President: Thank you very much for participating on our call today. As you can see from our third quarter results, it was very positive for our diverse company with what I'd consider very strong execution fundamentals. We continue to see high quality projects and opportunities for our services with our customers. We appreciate your interest in our customer and just in closing, I just want to recognize those veterans within our organization and all the veterans throughout this country for the service they've given our country, as we celebrate Veterans Day next week. Again, thank you very much for your interest in our company. Thanks and have a good day.